Operator: Good morning and welcome to the Lexington Realty Trust first quarter 2010 earnings conference call. Today’s call is being recorded. At this time, all participants are in a listen-only mode and the floor will be opened for your questions following the presentation. It is now my pleasure to turn the floor over to Ms. Lisa Soares, Investor Relations from Lexington. Please go ahead, ma’am.
Lisa Soares: Thank you, Andrea. Hello and welcome to the Lexington Reality Trust first quarter conference call. The earnings press release was distributed over the wire this morning and the release and supplemental disclosure package will be furnished on a Form 8-K. In the press release and supplemental disclosure package, Lexington has reconciled all historical non-GAAP financial measures to that most directly comparable GAAP measure in accordance with the Regulation G requirements. If you did not receive a copy, these documents are available on Lexington’s website at www.lxp.com in the Investor Relations section. Additionally we are hosting a live webcast of today’s call, which you can access in the same section. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical, may constitute forward-looking statements within the meaning the of the Private Securities Litigation Reform Act of 1995. Although Lexington believes expectations reflected in any forward-looking statements are based on reasonable assumptions, Lexington can give no assurance that its expectations will be attained. Factors and the risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in today’s press release and from time to time in Lexington’s filings with the SEC. Lexington does not undertake a duty to update any forward-looking statements. With us today from management are Will Eglin, CEO and President; Robert Roskind Chairman; Pat Carroll Chief Financial Officer; and Natasha Roberts, Executive Vice President and Director of Real Estate Operations; and other members of management. I would like to turn the call over to Will for his opening remarks.
Will Eglin: Thanks Lisa, and welcome to all of you, and thank you for joining us today. Lexington generated strong results in its real estate portfolio for the first quarter of 2010. We executed well in all of our key areas including leasing, sales, investment activity, balance sheet management, and operating efficiency. For the quarter, our reported funds from operations were $0.25 per share after adjusting for a few charges as detailed in the earnings release. And overall, it was a very good quarter. In the first quarter, we continue to execute on our capital recycling initiative through select property disposition. Total disposition activity for the quarter was approximately $39.9 million at a weighted average cap rate of 8.4%. Our strategy is to continue with our capital recycling effort by selling noncore properties, particularly our multitenant and retail properties in order to create additional liquidity and focus our portfolio strategy on our core single-tenant office and industrial properties. We are currently targeting disposition volume for 2010 of approximately $190 million to $225 million and are projecting the average cap rate on dispositions of about 5%, based on current occupancy. Our previous range was a $150 million to $275 million, so we are tightening both ends of the range, and this reflects both our progress on sales and the fact that we believe we can increase occupancy in some of our multitenant properties before marking them for sale. At the low end of our guidance, we expect sales to create net proceeds of roughly $95 million after mortgage repayment. During the first quarter, Lexington raised a total of about a $190 million, consisting of a $115 million of 6% convertible guaranteed notes and $75.7 million of common shares, and we have retired $175.7 million of debt which would have matured in the next few years. In the second quarter, we expect to close a mortgage financing of about $9 million at a fixed rate of 5.5% with a five-year maturity, secured by the Canal Insurance property that we acquired last December. In addition, we are in the market with request for financing on properties that have roughly $72 million of mortgage debt maturing this year, and we expect to have a variety of attractive options that would result in excess financing proceed at a cost in the 5.25% to 6.25% range depending on maturity and loan to value. Overall, we believe we have very good liquidity and we have a $150 million of available credit line capacity. From an operating perspective, our general and administrative cost decreased 9% compared to the first quarter last year. In the first quarter this year, we formed a joint venture to perform property management at certain of our properties, which were previously contracted out to a third party. We are a 50% owner of this joint venture and we believe this will make our property management more efficient and profitable, provide us with better control and allow us to provide services to our tenant through a Lexington branded company. On the leasing front, we had another successful quarter with 22 new and expanded leases executed for 413,000 square feet and have executed new and expanded leases for an additional 540,000 square feet subsequent to quarter end, including 94,000 square feet at a 100 Light Street, and we remain quite positive on our prospects to continue leasing space in this building. We encourage you to review our rollover schedule in our supplemental disclosure package which shows that at quarter end, we had about 0.6% of rental revenue expiring in 2010 in our single-tenant portfolio, half of which is already been expanded subsequent to quarter end. So we believe rollover risk this year is pretty much nonexistent. We haven’t had any material lease defaults and credit quality has held that very well. Portfolio occupancy at quarter end was 92%, which was about the same as last quarter. On the investment front, we remain disciplined and highly focused. Our most recent property acquisition was a $10.5 million sale leased backed with Canal Insurance Company, rated A by Standard & Poor’s. This was a 20-year sale leased back at an initial cap rate of 8.6% with annual escalation. As I mentioned, we are working on closing $9 million of financing on this facility at a fixed rate of 5.5% and that would generate a yield of about 24% on our remaining invested equity. And that has tremendous yield on what is essentially a five-year pay rated bond. As discussed on our last call, in the first quarter, we made two long investments, totaling roughly $28.5 million at rates of about 15% with maturities of two years to three years, and these investments are performing as we expected. Currently, we have three transactions totaling approximately $100 million in our investment pipeline. Each of these is a build-to-suit project that we expect will continue into our financial results next year. We believe these are very attractive opportunities for us, given that they are 15 and 20-year net leases at 9% to 10% going in cap rates, which equates to 10% to 11.4% on a GAAP basis. We expect to finance our acquisition pipeline with mortgage financings and proceeds from our capital recycling program and each of these transactions is being acquired at a cap rate that is accretive relative to the cap rate that which we can currently sell on multitenant properties for. Now, I will turn the call over to Pat Carroll, who will take you through our result in more detail.
Pat Carroll: Thanks Will. During the quarter, Lexington had gross revenues of $89 million comprised primarily of lease trends and tenant reimbursement. Under GAAP, we are required to recognize revenue on a straight line basis over the non-cancelable lease term with any periods covered by a bargain renewal option. In addition, the amortization of above and below market leases are included directly into rental revenue. In the quarter, cash rents were in excess of GAAP rents by about $5.5 million, including the effect of the above and below market leases. We have also included on page 40, the supplement, our estimates of both cash and GAAP rents for the remainder of 2010 through 2014. We recorded a $2.1 million noncash gain related to our forward equity commitment and put into in 2008 as a result of the increase in our share price from December 31st, ‘09 to March 31st, 2010. We also recorded $1.2 million of debt satisfaction charges relating to the write-off of the first quarter on debt that would be satisfied during the quarter. We recorded $20 million in impairment charges including discontinued operations, primarily related to properties disposed of and properties written down to what we believe are the estimated fair values. In discontinued operations, we recognized $3.8 million in debt satisfaction gains, related to the disposition of our property presence in California. On page 38 of the supplement, we have disclosed selected income statement data for our consolidated, but non-wholly owned properties and our joint venture investments. As Will mentioned, our G&A decreased $600,000 in 2010 compared to 2009. The primary driver for this decrease are lower professional fees. I also want to note that included in the 2010 G&A numbers, about $500,000 in annual cost that we expensed entirely in the first quarter. Now, turning over to the balance sheet, we believe that it is strong. We had $93.4 million of cash at quarter end, including cash classified as restricted. Restricted cash balances relate to monies held with lenders as escrow deposits on mortgages. At quarter end, we had about $2 billion of debt outstanding, which had a weighted average interest rate of about 5.8%. Included in intangibles is the allocation of the purchase price of properties related to in-place and above market leases and customer relationships in accordance with GAAP. Also, we have approximately $105 million in below market lease liabilities. The significant components of other assets and liabilities are included on page 39 of the supplement. During the quarter ended March 31st, 2010 we capitalized $600,000 in lease costs, $800,000 in TI costs and $6.8 million in capital improvement, including about $5 million spent on 100 Light Street. On pages 28 through 32 of the supplement, we disclose the details of all consolidated mortgages maturing through 2014. Now I would like for Natasha Roberts to discuss our leasing and expansion activities. Natasha?
Natasha Roberts: Thanks Pat. As of March 31, 2010 our portfolio totaled approximately 41.2 million square feet, including our interest in 45 properties that are held in joint ventured. 22 leases were either executed or extended in the quarter, leading to an occupancy level of approximately 92% at quarter end. This includes our share of purchasing property. Out of the 22 leases that were signed during the quarter, 11 were new and accounted for approximately 24,000 square feet and 11 were renewals or extensions, which accounted for approximately 388,000 square feet. We lost approximately 132,000 square feet of occupancy due to previously disclosed lease expirations that were not renewed during the quarter. As of March 31, 2010 Lexington share space scheduled to expire this year was 819,000 square feet. 437,000 square feet of this space has already been leased. Subsequent to quarter end, we signed eight leases totaling 540,000 square feet. In addition, we are currently negotiating two new leases and six lease extensions, which total approximately 1 million square feet. We currently have approximately 3.7 million square feet of space available or likely to become available for lease. The 3.7 million is comprised of our current vacant space of 3.4 million square feet, less our recent lease executions, plus our potential vacancy of an additional 382,000 square feet this year. We expect vacancy to be reduced by the sale of vacant properties totaling 1.1 million to 1.6 million square feet and the execution of new and renewal leases totaling 170,000 to 660,000 square feet. As a result, we currently expect 2010 yearend occupancy to be 94% to 96%. 2.8 million square feet of space is scheduled to expire in 2011. And off that, we currently expect to lease approximately only 2 million square feet. There are no material delinquencies in the portfolio. We have budgeted 15 million in tenant improvement allowances and leasing cost for the balance of 2010 and 9.5 million for 2011. Our CapEx budget for the balance of the year is $14 million which includes $8.5 million for 100 Light Street and $4 million for 2011, $1 million of which relate Light Street. Overall, it was a successful quarter. As Will mentioned, profit at our 100 Light Street continues and we are now 44% leased. Activity at the building has picked up with multiple large end users are expressing interest in the space. Our plans of redevelopment and building modernization project is nearing completion and our building reopening ceremony has been scheduled for June 10th. We will also be getting to see a renewed interest in expansions with our existing tenant. Although we can provide no assurance that these expansions will be completed, we are in preliminary discussions with one tenant regarding a 60,000 square foot office expansion, and with another tenant regarding a 90,000 to a 150,000 square foot industrial expansion. Overall, we are pleased with our leasing success. Tenant retention has been high and we think we can continue to make progress over the balance of the year. And now, I will turn the call back over to Will.
Will Eglin: Thanks Natasha. In summary, this was a strong quarter for Lexington on every level and we are pleased with our progress and our opportunities. Occupancy held up well, leasing continues to be consistent with our expectations, our balance sheet and debt maturity profile are significantly improved, and we have been able to source several investment opportunities that are very attractive. Operator, I have no further comments at this time, so we are ready for you to conduct the question-and-answer portion of the call.
Operator: Thank you. (Operator Instructions). We will now take our first question from Sheila McGrath with KBW.
Sheila McGrath – KBW: Good morning. Will, I was wondering if you could discuss again the build-to-suit forward commitments. What is the dollar volume that you have underway there, are they competitively bid? And if you think you will be able to secure more of those opportunities?
Will Eglin: Well, it’s roughly a $100 million that we are working on right now. And they are competitively bid, but the truth is that there is not that much competition for forward commitment and so that’s one of the reasons why we’re able to obtain a yield premium, likely play it out, if we were to finance those assets at 55% on the mortgage level, its roughly $45 million of capital that would be required to invest, which I think is modest. So right now the pipeline doesn’t look bigger than that and want to be very careful that we’re not over committing relative to balance sheet capacity. One would think if we’re entering in a period of economic expansion that is also characterized by a shortage of construction financing that to be a mission to market that we could explore more but it’s premature to talk more broadly at this point.
Sheila McGrath – KBW: So a $100 million would be coming online in 2011?
Will Eglin: That’s right.
Sheila McGrath – KBW: Okay. And I was wondering Pat, if you could give us some insight on where the dividend might be right now to your view on net taxable income?
Pat Carroll: Right now, we’re estimating an dividend approximate taxable income.
Sheila McGrath – KBW: Okay. Thank you.
Operator: We’ll now take our next question from John Guinee with Stifel Nicolaus.
Jennifer Hummer – Stifel Nicolaus: Hi it’s Jennifer Hummer [ph] here with John. Just a couple of questions. A lot of REITs are making short term double-digit interest rate loans, mostly without employees income covered by debt service. Your fully funded loans totaled $35 million, how much of the debt service is covered by employees income and how accretive against incremental cost to capital of debt are these two owned.
Pat Carroll: Well earning 50 and is very attractive relative to our cost of financing that’s for sure. I would say that in the four months since we did those transactions, (inaudible) so much that we would not be able to obtain those kinds of yields. On the Mezz loan we have did that current debt service coverage to our position. On the first mortgage loan on the Career Education property that does have an accrual feature but our balloon loan as long as the property is valued a cap rate that’s better than around 10.5 we’ll cover to our position there as we think in view of the long term lead, that that property is probably worked in 8.5 cap or better now so we think we have very good coverage with respect to our balloon amount.
Jennifer Hummer – Stifel Nicolaus: Okay, thank you. And then couple of others, what is the fully funded loan (inaudible) asset?
Pat Carroll: About $120 a foot.
Jennifer Hummer – Stifel Nicolaus: Okay. And then can you provide any additional detail on the 100 Light street lease to Ober Kaler, rental rates, any TIs, pre-rent anything else that you might have given them?
Pat Carroll: Related to that lease, we estimate that the lease mentioned date from a GAAP standpoint will July 1 of this year and from a GAAP standpoint we’ll be recognizing about $165,000 dollars a month in rent.
Jennifer Hummer – Stifel Nicolaus: Okay.
Will Eglin: And the one thing I would say that that lease took us over a year to get finish and start from the beginning and its primarily floors 19 through 23 of the building, that we will expect to do better from the rental rate standpoint on future (inaudible).
Jennifer Hummer – Stifel Nicolaus: Okay, alright. That’s all I have. Thank you.
Will Eglin: Thank you.
Operator: We’ll now take our next question from Todd Stender with Wells Fargo Securities.
Todd Stender – Wells Fargo Securities: Hi guys, thanks. Can I just get a little more color on the $17 million loan on the five medical facilities, who are the tenants and what is the lease exploration schedule look like?
Will Eglin: The main tenants there are St. Louis Hospital and then there are three others independent buildings that are leased to medical office tenants. It’s about 75% loan to value loan from our standpoint of roughly 9.5 cap underwriting which is roughly a debt yield of 12.8%.
Todd Stender – Wells Fargo Securities: Okay, thanks. And as we’re looking into mid part of the year here, any changes to your CapEx assumptions for the remainder of the year?
Will Eglin: No, nothing is really much different than we saw previously.
Todd Stender – Wells Fargo Securities: Okay and just switching gears, have you been able to repurchase any of your 5.5% exchangeable notes subsequent to the first quarter?
Will Eglin: We haven’t, we bought some in at par and I would point out that those notes are portable to us in 2012 but given the fact that the yields roughly 5.5, it’ll depend on where interest rates are the type but right now we don’t necessarily think the bondholders would elect their right and put all the bonds back to us. So we’ll see, it will depend on debt conditions at the time but we clearly think that we have been improving credit profile between our maturity so those bonds which a year ago or year and a half ago we thought probably all be put to us, I think it’s less likely that’ll happen now.
Todd Stender – Wells Fargo Securities: Okay, thanks guys.
Operator: We’ll take our next question from Anthony Paolone with JPMorgan.
Sarah King – JPMorgan: Good morning guys its Sarah King [ph] for Tony. Just one quick question for you, in terms of the overall disposition pipeline, what are you expecting now, in others words in addition to 2010 sales if any?
Will Eglin: For the balance of this year?
Sarah King – JPMorgan: Just overall, like what – I mean I know that you’ve been trying to get out of the retail portfolio for example and in other words, in addition to this year, what would you say the overall disposition pipeline is?
Will Eglin: If we execute $190 million which would be at the bottom end of our range. It’s certainly possible that we had comparable volume next year.
Sarah King – JPMorgan: Alright, okay. Excellent, thank you.
Operator: We’ll now back Gabe Poggi with Friedman, Billings, Ramsey.
Gabe Poggi – Friedman, Billings, Ramsey: Hey good morning guys. Well I was just looking for some mark – general market color. Are you guys seeing any areas where there is more stabilization rather than others is it still very specific asset-to-asset, just generally what are you seeing in the market and kind of what are your thoughts heading into the second half of the year?
Will Eglin: From a leasing standpoint, Gabe?
Gabe Poggi – Friedman, Billings, Ramsey: Yes.
Will Eglin: The good news for us is we’ve got almost nothing over the balance of the year. And given how geographically diverse our portfolio is and where we’re going to have roll over in the next couple of years thought for us is to draw any broad conclusion. We’re expecting that it’s going to be challenging for driving a opportunity general for a couple of years, but like I said the good news is that we just don’t have much firing over the balance of this year.
Gabe Poggi – Friedman, Billings, Ramsey: Okay, thanks.
Operator: (Operator Instructions) We’ll now take our next question from Bob Hodakowski with Beacon Hill Advisors.
Bob Hodakowski – Beacon Hill Advisors: Hi just wondering about the common stock price and the philosophy of the board regarding issuing common equity and equity linked securities, given the price performance of the stock relative to the industry over the last say five years. Could you elaborate on that please?
Will Eglin: Well I think last year many companies issued equity to recover from the financial crisis and we really did not issue – we issued equity to our own shareholders in the form of dividend for much of the year so we kept that dilution in the house if you will. So we weighted the market out and feel we have a tolerable price issue equity ad which we did in first quarter which has accelerated our deleveraging and financial healing. So we were I think (inaudible) that we didn’t take the easy way out in 2009 and so whole of equity, but there was I think a value to us in strengthening our balance sheet by issuing a fairly amount – a modest amount of a common stock in the recent issue.
Bob Hodakowski – Beacon Hill Advisors: Any plans on issuing additional equity in the foreseeable future?
Will Eglin: No we have good liquidity and good financial flexibility right now.
Bob Hodakowski – Beacon Hill Advisors: Okay. Thank you.
Operator: We’ll now take our next question from David Rockchild [ph] with Raymond James.
David Rockchild – Raymond James: Thank you for taking my question. My question sort of framed into a previous gentlemen asked, your number of outstanding shares have increased 30% over the last year and I understand a lot with the issue in the shares and dividend, but your currently trade below your book value and as your conditions improve have you guys considered buying back shares at all?
Will Eglin: No I think our focus still needs to be oriented towards deleveraging. We still have a couple of $100 million of recourse corporate maturities over the next few year that we’re going to stay focused on driving out of the structure of our balance sheet. So we still need to be focused on that and we bought a lot of stock back in 2007 which unfortunately de-equitized our balance sheet and put ourselves in a position where in the financial crisis set we suffered more than other companies. So I think that it would be unlikely for us to retire common stock at this time.
David Rockchild – Raymond James: Okay, I guess the other questions, most of my clients have held your guys stock well over 10 years and for years you pay well over a $1 dividend and now the dividend $0.40, I mean is there a foreseeable future we might be back to buck a share on dividends in the next three, four years, I mean is that kind of outlook with what your leasing activity is?
Will Eglin: Well we’ve all held our stock for a long time too, and the dividend is out of conservative payout ratio in relation to fund some operation. We do want to get back into business of increasing our dividends on an annual basis and would expect that there will be some upward pressure on our cash equivalents in next year, but the future are to predict and will predict that one year at a type.
David Rockchild – Raymond James: Okay, thank you.
Operator: We’ll hear next from Mill Cutler [ph] with Cutler Capital Management.
Mill Cutler – Cutler Capital Management: Just a couple of questions, mostly have been answer, on the dividend, did you expect (inaudible) at $0.40?
Will Eglin: Taxable income, that’s right.
Mill Cutler – Cutler Capital Management: Taxable income, yes and then the second question since everybody ask the questions, available for disposition over the next couple of years, is that approximately $380 million that we’re talking about?
Will Eglin: Yes, I mean we haven’t given specific guidance for disposition volume for next year but if we did the $190 million this year we’ll still have sales particularly in the retail portfolio and a couple of multi tenant assets that we scheduled for sale next year because we think we can make the lease in progress this year. So I think it will be a fairly steady capital recycling program that there is for next year at this point.
Robert Roskind: And basically the philosophy is to go back to single tenant net leases?
Mill Cutler – Cutler Capital Management: Okay, thank you.
Operator: We’ll now take our last question a follow-up from Sheila McGrath with KBW.
Sheila McGrath – KBW: Well I was just wondering 100 Light street, you are 44% occupied now. Is your plan there to get stabilized 80% plus and then sell it and then if you could remind us what the basis, what you’re carrying up buildings on your books?
Will Eglin: I think right now we think we have good leasing prospect Sheila. So we will as we sign leases and raise occupancy and the building will revisit when we should sell the asset, so I think we’ll just take that one lease at a time but we do have more interesting log users now than we ever had, Pat you can comment on our basis.
Pat Carroll: Yes, the growth basis is disclosed in the multi tenant chart but I think net of depreciation are exclusive of the arbitrage, I want to if you have the $100 million.
Sheila McGrath – KBW: Okay, thank you.
Operator: That concludes the question and answer session today. At this time Mr. Eglin, I will turn the conference back over to you for any additional or closing remarks.
Will Eglin: Thank you again for joining us this morning. We’re very excited about our prospects for 2010 and as always we appreciate your participation and support. If you would like to receive our quarterly supplemental package, please contact Lisa Soares or you can find additional information on the company on our website at www.lxp.com. In addition, you may contact me or the other members of senior management with any questions. Thank you and have a good day everyone.
Operator: Again ladies and gentlemen that does conclude today’s conference. We thank you for your participation.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!